Operator: Good day, and thank you for standing by. Welcome to the IAS Q1 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Jonathan Schaffer, SVP of Investor Relations. Please begin.
Jonathan Schaffer: Thank you. Good afternoon, and welcome to the IAS first quarter 2025 financial results conference Call. I'm joined today by Lisa Utzschneider, CEO; and Jill Putman, Interim CFO. Before we begin, please note that today's call and prepared remarks contain forward-looking statements. We refer you to the company's filings with the SEC posted on our Investor Relations site at investors.integralads.com for more details about important risks and uncertainties that could cause actual results to differ materially from our expectations. We will also refer to non-GAAP measures on today's call. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures is contained in today's earnings release available on our Investor Relations site. All financial comparisons, unless noted otherwise, are based on the prior year period. So with these formalities out of the way, I'd now like to turn the call over to our CEO, Lisa Utzschneider. Lisa, you may begin.
Lisa Utzschneider: Thank you, Jonathan. Welcome, everyone, to our 2025 first quarter call. Our first quarter results build on our positive momentum from the fourth quarter. We are setting clear expectations and delivering on them. We reported 17% revenue growth in the first quarter, ahead of our prior outlook of a 13% increase at the midpoint of our guide. We achieved an adjusted EBITDA margin of 31%. We are executing on our business strategy as we lean into our competitive differentiators. We are advancing our leading AI-backed technology, leveraging our first-to-market platform partnerships, and expanding our reach across channels and geographies with an 18% increase in revenue outside of the Americas in the first quarter. By closely listening to the voice of the customer, we are innovating and creating value across product and technology, while maintaining a high bar for quality and reliability. We believe that our customer value proposition, focused on driving ROI and greater efficiencies, continues to resonate with marketers in the current environment. As a result, we expect double-digit profitable growth in the second quarter and for the full year 2025. On our last call, we discussed three priorities for our 2025 product roadmap, performance, reach, and innovation. Starting with performance, we are all in on increasing ROI for advertisers. Last month, we announced the availability of Dynamic Performance Profiles or DPP. DPP is designed to help advertisers realize maximum performance across their media buys. Powered by our proprietary Total Visibility product, DPP uses customer outcome data to automatically identify and bundle top-performing contextual targeting segments. An IAS case study of an advertiser's conversion-based campaign in APAC last December revealed that DPP-activated campaigns increased conversion rates for this customer by 34%, and eCPM efficiency by 26%. DPP is an essential component of our Total Media Performance, or TMP, suite of pre-bid optimization products designed to maximize ad performance while protecting brand equity. Within our TMP suite, we are also launching in the second quarter, audience-enriched contextual targeting segments, which demonstrates our commitment to delivering advanced performance-enhancing tools. We expect these segments to reach high-value targeted audiences with a contextual-first solution to enhance scale and performance. Customers can activate segments in DSPs to reach their target audience, where they are most engaged. In March, we conducted a case study in partnership with a customer in the travel vertical, and found that placements with audience-enriched segments drove a 159% higher success rate at 72% lower cost. We are also broadening our reach with the major platforms in protecting customers' brand equity wherever they invest. In the first quarter, we launched new features and increased global availability for our content block list optimization solution on Meta. In April, we announced general availability of pre-bid video-level exclusion lists on TikTok as part of our social optimization offering. The expansion follows successful texting on the platform. Advertisers on TikTok can now benefit from pre-bid granular exclusion powered by IAS's AI-backed multimedia technology, giving them greater control over their advertising investments. In April, we announced the expansion of our partnership with Reddit to include viewability and invalid traffic or IPT measurement. These capabilities complement our earlier integration of our total media quality, or TMQ, brand safety and suitability measurement on the platform. Advertisers now have access to third-party campaign insights backed by trusted and transparent metrics to help brands safeguard and scale across Reddit. Last week, we announced a strategic first-to-market partnership with Nextdoor, the essential neighborhood network establishing IAS as the provider of pre-bid brand safety and suitability optimization on the platform. Using AI-driven multimedia technology, IAS will offer advertisers an additional layer of third-party transparency and suitability for their Nextdoor campaign. We continue to expand our partnership with the general availability of TMQ for Nextdoor expected in the second half of 2025. Our pre-bid optimization solutions on the social platforms are shown to improve performance and ROI for advertisers. According to initial IAS studies, advertisers' annual savings can reach as high as 2X their investments when using our social optimization solutions. In May, we announced the launch of our pre-screened brand safety solution for Google Search Partner Network. With this launch, we will provide advertisers with greater control over their investments before their ads are shown across the Search Partner Network. We are scaling QualitySync pre-bid segment adoption on the leading DSPs. With QualitySync, advertisers can automatically sync their pre-bid and post-bid settings across all channels for programmatic buys. We are generating traction with Amazon DSP, launched late last year, as well as Display and Video 360, launched in the first quarter. According to an IAS study, campaigns using QualitySync benefit from lower contextual brand safety and IVT fail rates. Lower fail rates result in 58% lower cost per conversion, helping brands boost ROI and media efficiency. In 2025, we are optimizing our go-to-market strategy to provide superior global support and service to an ever-increasing set of customers. We are expanding our reach across market segments, channels, and geographies. We are expanding our reach and performance offerings within the mid-market segment. Mid-market customers require streamlined, impactful, and easy-to-activate solutions, and we are delivering just that, including pro-measurement powered by our next-generation signal experience, built with the agentic future in mind. We continue to invest in growing media channels, including audio and gaming. Last week, IAS announced with Spotify, the launch of new brand safety and suitability targeting and measurement tools for podcast advertisers for the Spotify Audience Network. This solution includes pre-big classification and tailored targeting to safeguard brand reputation while driving ROI. In April, Roblox announced that IAS will offer coverage across media quality and performance solutions, including fraud, brand safety, and suitability and viewability. Turning to our focus on innovation, our AI and data strategy are core investment areas for IAS. AI is an integral part of our DNA and powers the majority of our products. Today, AI plays a critical role in how we operate, increasing velocity by streamlining workflows, enabling scale through automation and personalization, and improving accuracy by identifying patterns and insights that inform better decisions. We apply AI within 10, not just to move faster, but to solve problems more effectively. AI enhances how we build, analyze, and deliver, while ensuring that human judgment, transparency, and responsibility remain central to everything we do. Our differentiated data fuels AI investments by our customers to enable them to maximize the value of quality media signals. In April, we announced the launch of our impression feed, an innovative approach to monetizing impression-level data. Advertisers and agencies can use the impression feed's granular metrics to gain transparency into their digital advertising investments. Our publisher business is another great example of how IAS innovates. IAS's public capabilities set us apart in the CTV market. We are scaling product features built to increase bidding competition in ad auctions, and therefore to increase yield for publishers. We are also enabling publishers to maximize supply path optimization by providing them with optionality to connect directly with their demand sources. These differentiated solutions highlight the synergies between IAS and Publica and the power of our publisher-facing technology. Turning to our new business momentum, we have secured several new wins and renewals in key verticals. Customers cite several reasons for partnering with IAS, such as our advanced technology, ease of activation, and superior global customer service. Zenya, a global fashion luxury company, established an exclusive agreement with IAS and expanded their global partnership to include IAS's measurement and optimization solutions. IAS will provide TMQ, social optimization, and attention. Zenya selected IAS based on the accuracy of our classification technology. This win reinforces IAS's leadership in the luxury goods vertical, along with expanded partnerships with Essilor, Luxottica, and Prada announced on last quarter's call. Asics, a sporting goods company, picked IAS as their global verification provider for our full suite of measurement offerings, including TMQ, after previously working with Oracle. We won this partnership based on the ease of activation and use of our products, as well as the superiority of our tech and detailed reporting capabilities. AXA, one of the world's leading insurance companies, renewed their partnership with IAS, following an extensive diligence process. Our established relationship and high service levels enabled IAS to maintain its position as AXA's preferred ad verification provider. This renewal continues our track record of success in France, with global brands including Renault, Opella, Stellantis, and LVMH. We added a new partner and secured a major renewal in the chocolate and confectionery vertical, increasing our global leadership in the sector with partnerships with eight of the top 10 producers worldwide. Lastly, we are ramping our new clients that selected IAS following Oracle's exit from the advertising business. We are increasing adoption of our premium TMQ product for brand safety and suitability, along with our optimization offerings. We expect to grow the scope of these relationships as we build trust through actionable data that drives superior results. We exceeded our expectations for the first quarter and advanced our 2025 product roadmap with a focus on performance, reach, and innovation. By executing on these priorities and offering differentiated products, we are creating a flywheel effect to drive superior performance for our customers. We expect profitable growth in 2025 as we partner with marketers to achieve their goals. With that, I'll turn the call over to Jill to review the financials and then I'll comment on our outlook.
Jill Putman: Thanks, Lisa, and welcome, everyone. We reported a strong quarter and we are pleased with how we executed on our top priorities. Based on our current outlook, we expect to deliver double-digit profitable growth in the second quarter and for the full year. Total revenue in the first quarter increased 17% year-over-year to $134.1 million, ahead of our prior outlook of $128 million to $131 million. During the quarter, we generated strong double-digit growth in our optimization and publisher businesses with single-digit growth and measurements. Our overall growth was driven by both expansion of our top accounts as well as new logo wins. In addition, we reported adjusted EBITDA of $41.5 million at a 31% margin. Optimization revenue increased 24% to $64.8 million in the first quarter. Optimization growth was fueled by several verticals, including financial services, particularly in insurance, as well as retail and travel and entertainment. New products, including expanded QualitySync availability on Amazon DSP and DV360, also contributed to our strong optimization results. Measurement revenue increased 4% to $48.4 million in the first quarter. Looking at measurement revenue by channel, social media revenue increased 15% with strength in travel and entertainment. Social media represented 58% of measurement revenue and 21% of total revenue in the first quarter. Social growth in the quarter outpaced overall digital advertising spend with healthy demand for our TMQ product suite across our largest social platform. We continue to see a shift in advertiser spend for measurement to our premium optimization offering. As a result, open web revenue, which is primarily display, decreased single digits and represented 42% of measurement revenue. Turning to measurement revenue by format, video revenue increased 14% in the first quarter as a result of the growth in social media. Video accounted for 58% of measurement revenue with display and other formats, including audio and gaming, representing the balance. Publisher revenue increased 33% to $20.9 million, resulting from ongoing adoption of new public products by large OEM partners. In addition, we saw growth in non-CTV IAS publisher revenue that was attributable in part to the contribution from new Oracle customers. Publisher revenue represented 16% of total first quarter revenue. Revenue outside of the Americas increased 18% in the first quarter to $42.7 million, representing 32% of total revenue in the first quarter, with strong double-digit growth in EMEA. Gross profit for the first quarter was $103.9 million at a 78% margin, compared to 77% in the prior year period. On a combined basis, our operating expenses for the first quarter, excluding non-cash expense items, grew 13% year-over-year to $62.5 million. Stock-based compensation expense for the period was $15.5 million, in line with our prior outlook of $15 million to $17 million. Adjusted EBITDA for the first quarter, which excludes stock-based compensation and one-time expenses, increased 26% to $41.5 million, above our prior outlook of $38 million to $40 million. Adjusted EBITDA margin for the first quarter increased to 31% from 29% in the prior year period. Net income for the first quarter was $8 million, or $0.5 per share, compared to a net loss of $1.3 million, or $0.01 per share, in the first quarter of 2024. Moving to our performance metrics. Our first quarter advertiser net revenue retention, or NRR, was 109%, up from 107% in the fourth quarter of 2024. The total number of large advertising customers, which includes both mid-tier and top-tier clients with annual revenue over $200,000, grew to 239 compared to 227 in the prior year period, and up from 237 in the fourth quarter of 2024. Revenue from large advertising customers was 84% of total advertising revenue on a trailing 12-month basis. Cash and cash equivalents at the end of the first quarter totaled $59.1 million. We further lowered our debt to $15 million at the end of the first quarter. We are closely monitoring the broader advertising environment. As such, Lisa will comment on our second quarter and full-year outlook. Here are a few modeling points to consider. Second quarter stock-based compensation expense is expected in the range of $19 million to $21 million and $72.5 million to $75.5 million for the full year. We expect weighted average shares outstanding for the second quarter in the range of 164.5 million to 165.5 million shares and 165 to 167 million shares for the full year. We expect an effective tax rate of approximately 30% for the full year 2025. In conclusion, we executed on our priorities in the first quarter and delivered 17% revenue growth at a seasonally strong adjusted EBITDA margin of 31%. We are planning for double-digit profitable growth in the second quarter and for the full year. And with that, I'll turn it back over to Lisa to discuss our outlook.
Lisa Utzschneider: Thanks, Jill. We are raising the midpoint of our full-year financial outlook to reflect our strong first quarter performance. Our guidance is based on brand spend in the current environment and ongoing budget shifts to our premium optimization offerings. We expect to deliver another year of double-digit profitable growth. For the second quarter ending June 30, 2025, we expect total revenue in the range of $142 million to $144 million or 11% year-over-year growth at the midpoint. Adjusted EBITDA for the second quarter is expected to be in the range of $45 million to $47 million or a 32% margin at the midpoint. For the full year 2025, we are increasing the midpoint of our revenue outlook to reflect our strong Q1 performance. We now expect revenue of $590 million to $600 million or 12% year-over-year growth at the midpoint. We are also raising the midpoint of our full year 2025 adjusted EBITDA to be in the range of $204 million to $210 million or a 35% margin at the midpoint. We expect to maintain gross margin for the full year 2025 in the range of 77% to 79%. And with that, we are now ready to take your questions. Operator?
Operator: [Operator Instructions] And our first question will be coming from Andrew Marok of Raymond James. Andrew, your line is open.
Andrew Marok: Maybe first, if we could talk about in the context of the current digital advertising market with the shorter visibility windows and such, just the advertiser demand you're seeing, especially for the performance-oriented solutions that you talked about at the beginning of the call.
Operator: Please stand by. This is your operator. Please stand by. Your conference will resume momentarily. Ladies and gentlemen, please stand by. You may begin.
Lisa Utzschneider: Okay. I'll respond to Andrew's question. Andrew, can you hear me?
Andrew Marok: I can hear you, yes.
Lisa Utzschneider: Okay. So let's get back to the current macro environment. So as I was saying before, we've made a bet on performance. We talked about it in our previous earnings, our Q4 earnings call, the three pillars of our product roadmap being performance, reach, and outcomes. That bet on performance is absolutely paying off. You see in our Q1 results, both Q1, we put 17% up on the board for growth year over year. Optimization in particular, 24% growth. It's a reflection of the value that we're offering to brands as they're leaning into performance programmatic offerings that drive greater transparency, greater efficiency, and greater ROI. So it's great to see that the brands are leaning in. We love the attach rate and the adoption that we're seeing with the product, and we'll continue to drive that value for our customers.
Andrew Marok: And maybe at the risk of breaking the call again, if I could get a quick follow-up. I think you mentioned in the past, your open web display business, or your open web measurement business, rather, has been kind of an onboarding point for new clients. Is that still the case, or are a lot of your newer clients going directly to things like social measurement and your optimization solutions? Thank you.
Lisa Utzschneider: Yeah. Great. Great question. So as we mentioned earlier on the call, we are seeing softness similar to across the internet in open web display. We're pleased with our social measurement growth for Q1 being 15%. Again, it's a testament to the value that we're driving to our advertisers. So we're seeing the advertisers continue to drive TMQ adoption across all the major social platforms, both here in the U.S. and internationally. We are seeing some shifts in budgets from measurement to optimization, again, as brands are leaning into all things related to efficiency and ROI.
Operator: And our next question will be coming from Jason Helfstein of Oppenheimer. Your line is open.
Jason Helfstein: So first, just can we get some color on how you're thinking about second quarter by discipline? And I guess maybe, when you talk about that, in certain lines, there's a good amount of volatility quarter to quarter, and some of that goes away if we look at it on a two-year stack, like optimization is pretty stable on a two-year basis, but variable on a one-year basis. So just kind of maybe any color just around what you're looking for for the second quarter, and then just like when we think about the first quarter, any drivers that weighed a bit more in measurement growth was like legacy products or just more of a mix away from display? Thank you.
Lisa Utzschneider: Jill, do you want to take Jason's first question? I'll take the second.
Jill Putman: Okay. I'll take it. I'll take both, Jason. All right. So your first question related to Q2 and the drivers that we're seeing in Q2. A couple things to call out. We're seeing, anticipating double-digit growth in total advertiser revenue in the second quarter. Second thing to call out is we expect double-digit optimization growth above the forecasted total Q2 revenue growth of 11% and the full-year growth of 12%, but below the Q1 levels, because we saw such strength at that 24% for optimization. Also, in terms of measurement, we do expect single-digit measurement growth in Q2, improving from the first quarter levels. You probably saw that at 4% for Q1. And then in terms of publisher, another highlight for Q1 being 33%. In Q2, we do expect double-digit revenue growth in the publisher revenue in Q2, but we do anticipate that growth to be below Q1 levels related to the timing of onboarding of Oracle customers. And then in terms of drivers for Q1 measurement growth, the thing I'll call out again is social growth being 15% is a highlight for the quarter. The way to think about that is we continue to grow our business both here in the U.S. and internationally. Outside of the Americas, another bright spot for the quarter was our international growth of 18%. And one of the drivers of that growth is as our large global advertisers continue to adopt TMQ in international markets and emerging markets, that's driving the social measurement growth. And then the other call I'll say tied to the social growth is both on Meta and TikTok, as you know, two of the three largest social platforms, we do see north of 50% revenue on both Meta and TikTok internationally.
Jason Helfstein: And just kind of follow-up, so why did it slow though versus the 12%?
Jill Putman: For the measurement growth?
Jason Helfstein: Correct, yeah, yeah.
Jill Putman: Yeah. So you might remember as we continue to cross-sell and up-sell TMQ with these large global advertisers in the international markets and emerging markets in particular, the emerging markets, and this is across the industry, this isn't just with IAS, tend to have smaller budgets, lower CPM, so that is one of the reasons that you're seeing that from 12% to Q1 measurement growth.
Operator: And our next question will be coming from Mark Kelley of Stifel. Your line is open, Mark.
Mark Kelley: I was hoping maybe you could expand just a little bit on the mid-market strategy that you alluded to, Lisa, in your prepared remarks. I know that's been part of the strategy here for a bit, so maybe a little bit more color on what changes you think you need to make, and is that feedback from some of the mid-market agency deals and clients that you have already. And then second, would also love to get your thoughts just on the Google ad tech trial. Curious if you're seeing more interest in Publica as a result or maybe any other thoughts that you have there. That would be great. Thank you.
Lisa Utzschneider: Yeah, thanks, Mark. I'll take both questions. So a couple of things about mid-market. You might remember the way we define mid-market is annual spend between $200,000 and $1 million. Mid-market clients, these are performance-based marketers who are focused on all the things related to ROI, driving efficiency, driving outcomes, and we've been very pleased with the growth that we're seeing in mid-market both in the U.S. and internationally. The area where mid-market is really starting to pop is the adoption of our performance-based products that we've launched both in the back half of last year and in the first half of 2025. All of our new products on our 2025 product roadmap, they've all been released to date, which is the fastest, the highest velocity we've seen in shipping products, and it's really resonating, especially with the mid-market advertisers. Again, they're performance-based. The other area where we're seeing nice growth in mid-market is from Oracle clients. You might remember one of the customer types within the Oracle business are mid-market accounts, and the team's doing a great job closing them, onboarding them, and lots of cross-sell and up-sell. So, again, we're pleased with mid-market. It's another important bet for 2025. A bet we've made both on the back end in beefing up our performance-related products, investing in automation to make it much simpler for mid-market accounts to activate the products, and then on the front end, continue to invest in a mid-market sales team as well as a service team. In terms of the Google trials that have happened, I would say that it's too early to tell. With Publica in particular, the majority of our business is on the buy side, the demand side, but Publica represents the supply side, especially in CTV, and we're seeing strong growth in Publica. It's too soon to tell, but it could potentially be a tailwind for our business should the publishers reassess their ad tech partners depending on what the verdict is for Google.
Operator: And one moment for our next question, which will be coming from James Heaney of Jefferies. Your line is open, James.
James Heaney: I guess, sticking on the topic of Publica, you've been growing revenue now for the last couple quarters, around 30% year on year. Just interested to hear what's been driving that success, anything specific on the product side or the go-to-market, just anything you'd call out on that. Thank you.
Lisa Utzschneider: Yeah. Thanks for the question, James. So a few call-outs on Publica. As I mentioned before, our 33% publisher revenue for Q1 is another highlight for the quarter that we're really proud of. Publica, it continues to be a great asset for the company. Large OEMs, they continue to see the value of our highly differentiated Publica offerings. And one area in particular where we continue to invest in, and I remember talking about this in last quarter's call, is introducing and refining product features to increase the bidding competition across the ad auctions. The OEMs, they love seeing the performance of the bidding enhancements that we're making and will continue to invest in those features and additional features for Publica. The other thing I think it's important to call out is just the non-CTV IAS publisher continues to also be a strength in our portfolio of products, and it's just great to see the brands leaning into our IAS publisher solutions.
Operator: And our next question will be coming from Youssef Squali of Truist Securities. Your line is open.
Youssef Squali: Hey, Jill. So maybe just double-clicking on the measurement growth again at 4%. I think you said that open web revenues were down single-digit percentage for the quarter on a year-on-year basis. Can you maybe unpack the reasons for that, how much of that may have to do with maybe growing curation from SSPs or maybe some other things? Just try to see whether this is a new trend that's likely to continue. Is this something that's going to kind of inflect again next quarter, especially that you said next quarter's measurement growth should be improving versus that 4%? And then at a high level, relative to your kind of guidance this quarter versus prior quarter, and I'm talking more about your guidance for the full year, it looks like you beat Q1 by a bit more than you've raised your number for the year. I understand maybe the macro and the uncertainty around it may be the driver, but just would love to see or to hear if there is anything else going on there. Thank you.
Lisa Utzschneider: Yeah, thanks for the question, Youssef. So the first one around the measurement 4% growth in Q1, we delivered single-digit growth in measurement as expected, and as I mentioned before, we're also pleased with that double-digit 15% growth in social media. The reflection of open web down by single digits, we're seeing it across the industry, that display across the digital ecosystem is down. I think it's just a reflection of what's happening at a macro level from a display perspective, but also want to reiterate the point I made earlier is we are seeing budget shifts from measurement to optimization. I think part of that has to do with macro environment as the brands continue to seek out differentiated solutions that drive performance, drive efficiency, drive ROI. So I think it's a combination of the two, of just display softness in the ecosystem and then the brands doubling down on all things related to optimization. And then with your second question around the full-year guide and beating Q1 more than the raise, there are a few points I'll make on that in terms of macro-economic environment. The first is, as you know, we're customer-obsessed at IAS, and over the last few weeks and months, we've been spending, and I've personally been spending, a lot of time with customers on the road, meeting with some of our largest advertisers, hold codes, publishers, and platforms, and the feedback has been consistent in terms of how they view the macro-economic conditions, the value that they're seeing in the products that we're offering, the fact that we're doubling down and providing greater transparency into all things related to programmatic. And based on all that feedback that we're receiving and the line of sight that we have to the forecast, that is why we set the guide the way that we set the guide.
Operator: And our next question will be coming from Rob Coolbrith of Evercore ISI. Your line is open, Rob.
Rob Coolbrith: Wondering if you could talk about market response so far to pre-bid optimization tools and social, and if you could tell us whether that was maybe a factor in driving the strength and optimization in the quarter if it's just too early. And then secondly, wanted to ask if you could maybe spend a minute or two just educating us on how you go to market with dynamic performance profiles and the other CPM products. Is that a play on curation by the SSPs? Is it something that's activated through the buy side? Just anything more you could tell us about how you sort of go to market there. Thank you.
Lisa Utzschneider: Yeah, sure. Thank you for both questions. So in terms of pre-bid social optimization, we're tracking in line with expectations. We're very pleased with the adoption rate that we're seeing in pre-bid social. We're also pleased with the ramp and the new features and increased global reach that we've continued to expand the product on all three of the major social platforms, Meta, TikTok, and YouTube. We receive ongoing feedback from the advertisers who have adopted the product. They continue to see improved performance and ROI, and I know that we cited this earlier on the live call, but the brands that are using our social optimization solutions, they can see annual savings reach of 2x their ad investments, and they really appreciate the fact, especially during the macroeconomic conditions, that we are quantifying the ROI, we are quantifying the results that they're seeing. So we expect to continue to scale pre-bid in 2025, and we would anticipate more meaningful revenue in 2026. And then in terms of the go-to-market with the curation products, there are a few things about that product that we've launched. Again, it's along the lines of leaning into all things related to performance and efficiency and ROI that we're delivering on behalf of the advertisers. The way it works is it's automated, optimized automation where we embed contextual segments at a pre-bid level to help the advertisers find higher quality media at automated that leads to higher outcomes, better outcomes for the brand.
Operator: And our next question will be coming from Justin Patterson of KeyBanc. Your line is open, Justin.
Justin Patterson: Lisa, last call you talked about China as an opportunity you were pursuing more. I realize everything's fluid right now, but I'm curious how your timeline and investment levels around China may have changed for the year. Thank you.
Lisa Utzschneider: Yeah, thanks, Justin, for the question. So as you remember last quarter, we launched first to market in China. In fourth quarter, both a China in and a China out strategy. We are still alpha testing in China with luxury goods customers, and we're receiving very encouraging feedback. We also have a strong pipeline of prominent global brands, both within luxury and CPG categories. And the other thing to know, and this was very exciting for the team, on April 1st, we had our first IAS China event in Shanghai with over 40 clients and agencies in attendance, and they were combinations. Some of them focused on local advertising in China, and then some of the larger global brands were there, focused more on the China out strategy. We're also investing in growing headcount in support of our China-based initiatives. So, again, it's very early days in China, but we're really pleased with the level of interest and engagement, and we'll continue to running the alpha and providing value to the brands who are running the products.
Operator: [Operator Instructions] Our next question will be coming from Brian Pitz of BMO Capital Markets. Your line is open, Brian.
Brian Pitz: Thank you, Lisa. Maybe two questions for me. Can you talk about traction on alternative platforms like gaming, given that Roblox has recently noted they're seeing more meaningful growth in their ad business that's new? And then, as you look further out with the rise of AI agents, can you talk about how these agents who perform tasks on users on the internet solutions, how are your viewability and maybe invalid traffic solutions becoming increasingly more important? Are those customers starting to talk to you more about looking into the future and how they're going to navigate some of those changes to the landscape? Thank you.
Lisa Utzschneider: Yeah, sure, Brian. Thank you for both questions. So gaming is an important channel, and Roblox is an important strategic partner. One thing to call out about Roblox is, in April, we did announce that we were offering coverage on Roblox across media quality and performance solutions, and basically what that means is offering fraud, brand safety, suitability, and viewability on Roblox. We'll continue to test and learn with Roblox. When I think about gaming, it's not the top priority compared to the scale and reach of social platforms, but we'll continue to lean in with Roblox and test that capability. And then, in terms of AI and capabilities, as I mentioned earlier on the call, a few things to call out about AI, and at IAS, we're an AI-first company. We have been leveraging AI for years. AI powers the majority of our products, powers the majority actually of our new products in 2025, but what distinguishes IAS in terms of the use of AI and how we use it, it's not just the presence of AI, but I'd say more importantly how we're applying AI, and I'll walk you through a few cases of how we're using it. We're using AI strategically to produce measurable outcomes beyond automation. We also combine human judgment with machine learning, applying AI where it adds the most value for our customers. We leverage AI to accelerate execution, and then also with everything that we do related to AI, we apply it responsibly with a clear focus on transparency, fairness, and trust. And to be clear, AI is not replacing how we work. It's an extension of what we can do as a company in driving value for our customers, and we treat it as a practical, ever-evolving tool. So we're really, really excited with how we're leveraging AI, how we continue to leverage it to drive differentiation and value for our customers.
Operator: And our next question will be coming from Jason Kreyer of Craig-Hallum. Your line is open, Jason.
Jason Kreyer: Just one question on the customers you brought over from Oracle. How are those conversations progressing just across the cross-sell opportunity? And are there any changes to what you would expect that contribution could look like over the next few quarters? Thanks.
Lisa Utzschneider: Yeah, thanks, Jason. Happy to answer that question. So a couple of things on Oracle. You might remember last summer was the summer of Oracle. We were really pleased with our close rate of over 70%, bringing on 75-plus new accounts into IAS. Equally as excited about the fact that we hired over 30 employees from Oracle. So since the back half of last year, the team, we've been very focused on onboarding these accounts, integrating the accounts, having them start utilizing our products, but I'd say also, more importantly, drive the cross-sell and up-sell. We're pleased with the stickiness that we've seen with the Oracle customers, their adoption of multiple products across the portfolio in all three of our business lines. And then the other thing I think is important to know is we are seeing a higher adoption of context control from the former GrapeShop clients than we are from non-Oracle accounts. So this is just a great illustration. The story of Oracle, our ability to execute as a business, to quickly integrate dozens and dozens of accounts and drive extended and ongoing value as they adopt more and more products.
Operator: Our next question will be coming from Mark Zgutowicz. Your line is open.
Mark Zgutowicz: Just a couple quick specific ones for me. On open web, I'm curious what your 2Q and '25 guide implies for growth there. You talked about, I think you said a single-digit growth number, down single digits in 2Q, and if you can maybe quantify whether that's high single or low single? But just trying to get a sense of the trajectory there because it seems like it's come down a bit from fourth quarter. And then as it relates to Oracle incrementality in Q1, just curious sort of what the incrementality was there. You talked about 2Q being the growth in publisher being a little bit less than 1Q due to less onboarding of Oracle. Just curious if that's a carry into the second half of the year in terms of Oracle specifically. And then also, what's sort of implied for Oracle in your '25 guide? Thank you.
Lisa Utzschneider: Sure. Jill, do you want to take the first question?
Jill Putman: Yes. Yeah, I'd be glad to. Hey, Mark, thanks. So as far as measurement assumptions for growth, we're assuming measurement will contribute to the total advertiser growth in the single digits, but improving off of the first quarter that was posted at 4%.
Mark Zgutowicz: I guess specifics of open web. I'm just trying to get a sense of the trajectory of open web that's implied in your guidance for the year.
Lisa Utzschneider: Yeah, I can take that. So measurement improved from 4% in Q2 and full year to single digits. The other thing to call out is we'll be higher than 4% in second quarter and full year on measurement. Mid to high single digits is appropriate. And then in terms of publisher growth due to onboarding and Oracle timing, as I mentioned before, we're really pleased with the adoption, the integration adoption we've seen across all of the Oracle customers we've brought on board. With the publisher business in particular with Oracle, we expect continued strength in publisher revenue in Q2 at a lower rate than Q1 related to the timing of onboarding of the Oracle customers. And this is just the timing of the contracts and the timing of onboarding them.
Operator: One moment for our next question, which will be coming from Omar Dessouky of Bank of America. Your line is open, Omar.
Omar Dessouky: I wanted to double click on your comment about continuing to invest in a mid-market sales team. So how should we think about the ramp of that investment? Namely, is it sort of like a one-time investment? Will you invest as you see growth? And what is the ultimate size of this incremental sales force as compared to your existing sales force? Thanks.
Lisa Utzschneider: Thanks, Omar, for the question. So the way to think about the ramp of mid-market, we're being thoughtful about the ramp of the sales team for a couple of reasons. Bringing them onboard, training them to be able to sell our product, but quickly be able to start activating accounts, lighting them up, and generating revenue. So the plan we have in place is several quarters of bringing these, I'll say, tranche of sales reps in and onboard them and ramp them. The other thing, and I've seen this in my many years of running sales teams, mid-market and inside sales teams are as successful as the revenue they generate. So there's got to be some form of self-funded revenue model in place where the team has got to generate the revenue, put the numbers up on the board as we continue to fund headcount. In terms of comparing the size of mid-market to our larger team, it's a fraction of the global enterprise team. But, again, we're confident in this strategy and investing in mid-market, especially as we're seeing the adoption rate that we're seeing and putting up numbers like 24% in optimization. So we'll keep investing in the performance-based products, in the automation, and onboarding and training the sales team.
Omar Dessouky: It sounds like you're alluding to an inside sales model rather than, like more of a high-touch model for your larger clients. Let me know if I'm hearing that right. And how should we think about the sales cycles in mid-market as compared to your existing clients? Thanks.
Lisa Utzschneider: Yeah, great question. Yep. So mid-market, as I mentioned before, they're performance-based advertisers. They're lower-touch, simpler activation, simpler product offering, but very fast to activate and accelerate and get live. So investments both in simplifying the optimization product offering, investing in automation so it doesn't require lots of white-glove treatment. They're more self-serve clients. And then, again, just ensuring that the products are driving the efficiency and ROI that they're looking for.
Operator: And I am showing no further questions at this time. I would now like to turn the call back to Lisa Utzschneider for closing remarks. Your line is open.
Lisa Utzschneider: Thanks, everyone, for joining today's call. We're off to a strong start in 2025, and we are executing on our growth strategy. We are leading with innovation and have launched several first-to-market products that are live across platforms. Thanks to the entire global IAS team for your efforts. Have a good night, everyone.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.